Operator: Hello and welcome to today's KNOT Offshore Partners Second Quarter 2022 Earnings Results Conference Call. My name is Bailey, and I'll be your moderator for today's call. All lines will be muted during the presentation portion of the call with an opportunity for the questions-and-answers at the end. [Operator Instructions] I would now like to pass the conference over to our host, Gary Chapman, Chief Executive Officer with KNOT Offshore Partners. Gary, please go ahead.
Gary Chapman: Thank you, Bailey. And welcome everybody to our second quarter 2022 Earnings Call. The earnings release and this presentation are also available on our website at knotoffshorepartners.com if you want to view them. Slide two reminds about the nature of today's presentation. In particular, with regards to the inclusion of forward-looking statements, which are made in good faith, but which contain risks and uncertainties, meaning, that actual results may be materially different. The partnership does not have or undertake a duty to update such forward-looking statements, and for further information please consult our annual and quarterly SEC filings. Today's presentation also includes certain non-US GAAP measures and our earnings release includes a reconciliation of these to the most directly comparable GAAP measures. On to slide three of the presentation, highlights of the second quarter and subsequent. We announced a cash distribution of $0.52 for the quarter for the 28th consecutive time at this level under our 1099 structure, which was the 37th consecutive distribution made since the partnership first listed in 2013. We maintained 100% scheduled fleet utilization during the second quarter, 90.5% taking into account the scheduled drydockings of the Lena, Anna, Vigdis and Windsor Knutsen vessels. We were able to conclude a further sale and leaseback agreement with respect to the total Knutsen, generating net proceeds of approximately $39 million after fees and expenses and we use the majority of these funds to purchase the Synnove Knutsen from our sponsor Knutsen MYK or as we refer KNOT. The total purchase price of the Synnove Knutsen was $119 million, including taking on the debt associated with the vessel. We've been able to conclude, or nearly conclude a number of charters this quarter, including that in return for accepting an early redelivery of the vessel under the existing contract, we closed a new three year deal with Eni for the Ingrid Knutsen to commence in January 2024 for a period of three years and with three further years of charters options. The Vigdis Knutsen took over the time charter contract for PetroChina and PetroChina also exercise their first option for an additional period of 12 months, taking the vessels employment to at least September 2023. Tordis Knutsen is expected to go on charter to TotalEnergies in September 2022 for a fixed period of three months with charterer's options to extend by up to nine further months, subject to agreement of customary operational terms. Lena Knutsen has also secured a charter with TotalEnergies and this commenced on August 21, 2022 for a period of six months with charterer's options to extend by up to sox further months. Windsor Knutsen is expected to be chartered to a major oil company from around January 2023 for a fixed period of one year with the charters option to extend the charter by one further year. Again, this remains subject to agreements of customary operational terms. Finally, we remain in discussions with an oil major for the Brasil Knutsen for a one-year time charter contract with options to extend to commence in or around September 2022 and we're hopeful that this can be concluded soon. Slide four, in April 2022 Anna Knutsen commenced on a charter with TotalEnergies for two years with options for the charterer to extend the time charter by up to three further one year periods. The Bodil Knutsen is continuing to operate on a time charter with Knutsen NYK at a somewhat favorable rate to Knutsen NYK that with options could last until June 2023, and this is all pending funding of the new employment for the vessel. We received news that Eni would redeliver the Hilda Knutsen to us around September 2022 and following their drydock the Windsor Knutsen well absent other employment available until the end of this year. They were working hard to secure further charters for these vessels. We, of course, continue to discuss with our customers other opportunities and we've seen the upturn in market activity in Brazil continuing into the second quarter. The North Sea market, where four of our vessels operate is taking longer to return to the higher levels of production we're predicting, mainly following the delays caused by the initial onset of COVID. And we think this could take several more quarters to resolve itself. In particular, we await the large Johan Castberg field in the Barents Sea coming on stream. The FPSO for which has suffered delays during COVID and also with some construction issues. We continue to take precautions against COVID in our business and we have been able to avoid any serious or sustained operational impacts from the pandemic. And there have been no effects on the partnerships contractual position. At June 30, 2022, we had $487 million of remaining contracted forward revenue excluding options and $123.5 million in available liquidity, which included cash and cash equivalents of $88.5 million, of which, we utilized around $32 million on July 1, 2022 in connection with the acquisition of the Synnove Knutsen. Slides five through eight are a summary of our financial results and I will allow you to read these for yourselves, but mentioning just a few points. On slide five, whilst we generated good numbers across scheduled operations our revenue, operating income and adjusted EBITDA were all predictably affected by the off hire incurred due to the vessel drydocks that were taking place. Five of the six vessels due for dry-dock in 2022 have now completed or nearly completed with the sixth vessel due late in the fourth quarter of 2022 into the first quarter of 2023. Our operating expenses were also higher this quarter, partly as a result of increased bunker costs related to our time chartered vessels that needed to transit to and from there drydocks. When time charter vessels are on hire, fuel is a cost for our customers, but these vessels are off-hire during their drydock and with fuel cost increasing this has impacted here. Crew and crew-related costs remained challenging due to the continuing impact of COVID issues around travel, quarantine and logistics costs. But we have seen further easing in some parts of the world, so hopefully, such cost increases have peaked. With a wide and geographically spread supplier base to draw up on, we believe we have some protection against certain elements of inflation that is occurring in many countries, just now. However, this is something that we like all companies are keeping under close review. Our interest expenses are up this quarter mainly due to increased LIBOR related to the proportion of our debt that is floating rate. On slide seven, you can see our cash and cash equivalents balance at the end of the quarter of $88.5 million, which, when you deduct the approximate $32 million we utilized on July 1 for the acquisition of the Synnove Knutsen is a little down on the first quarter balance. Again, this is predictable given the planned dry docks that have occurred. The distribution coverage ratio was 0.51 for the second quarter of 2022 and as we have disclosed previously, although there is a tenancy to focus heavily on this figure each quarter the partnership and the Board instead takes a longer, wider and more rounded view. When deciding on the payments of a distribution, we do not mechanically link to the distribution coverage ratio for that quarter, rather we consider many factors including our liquidity position, the outlook for the business and our market and our strategic interests and anything else that we consider to be relevant. We feel this allows us to operate in the best interest of our unitholders and serve the long-term, and we continue to try to encourage all of our stakeholders to thinking the same way. Slide nine provides an update on our contracted revenue and charter portfolio. I don't intend to read through this slide as we've covered many of the contractual updates already, other than to say that although it's not a smooth charter picture right now, we have had success in filling some of the gaps we had in 2022 and we are, of course, working hard and continuing our efforts. We had remaining forward contracted revenue of $487 million, excluding options, average remaining firm charters of 1.7 years and charters had options to extend these charters by a further 2.4 years on average. I've included the Synnove Knutsen on here, even though we did not purchase divestment on July 1, as I think this is more useful for readers of the presentation. Then on slide 10, we have the potential dropdown vessels held by our sponsor KNOT that the partnership may choose to purchase in the future. There are no material changes to this slide this quarter compared to the previous quarter, other than the removal of the Synnove Knutsen, given the Partnerships purchase on July 1. Slide 11. The delivery schedules for FPSOs, many of which were delayed due to early pandemic CapEx reductions have seen overall timelines normalized, particularly in Brazil. I can also refer you to Appendix C of this presentation, the slide we have used previously and which shows the many FPSOs Petrobras have ordered for operation in Brazil. Current high oil prices against project level breakevens at or below $35 per barrel and producer optimism about continued high prices, a further encouraging investment in additional production capacity and in the shorter term providing trading opportunities. Importantly, new FPSO ordering activity for the Brazilian Pre-salt reflects funded commitments to increase production in shuttle tanker serviced deep offshore fields. And the more mature North Sea market saw the milestone arrival into Norway during the second quarter of this year of the delayed Johan customer FPSO intended for the shuttle tanker serviced Barents Sea. The scheduled started in late ‘24, early 2025 proven volumes today are estimated between 400 million and 650 million barrels and production is expected to run for 30 years. Once on stream, this field will be the source of much activity. On slide 12, following earlier CapEx program delays across the energy industry and increasing newbuild prices, we understand that only one new shuttle tanker order has been placed in 2022, this constituting just over 1% of the current 79 shuttle tankers in service today. This limited ordering activity with the main shipyard being effectively full with containership and LNG carrier orders through 2025. It means that the total order book for shuttle tankers is quickly dwindling with only four likely to deliver before 2025, all of which we understand are already assigned to long-term charters. As a result, oil production growth in the mid-term may suffer from a lack of available tonnage and with newbuild shuttle tanker prices up around 30% since the second half of 2021 the competitiveness of the existing fleets and vessels should be highlighted. So slide 13, our near-term priorities, which are quite simple and consistent. Continue to focus on safety, maintain high scheduled operational utilization in line with our historic track record, ensure the remaining dry docks in 2022 are successfully closed out, keep close dialog with our customers to ensure we can respond as opportunities arise, work hard to secure employment for our vessels that remain open in 2022 and 2023 with particular emphasis on the North Sea and we think by targeting these things we will be keeping the best long-term interest for the Partnership unitholders to the fall. So in summary for this quarter on slide 12, we have strong utilization at 100% for scheduled operations, we generated distributable cash flow of $9.4 million following the several dry docks in the quarter, we paid a quarterly distribution of $0.52 for the 28th consecutive quarter, we had $487 million of remaining contracted forward revenue, excluding options at the end of the quarter and no refinancing due until the third quarter of 2023. As a reminder, the partnership's operations are not exposed to short-term fluctuations in oil prices, volume of oil transported or global oil storage capacity and our charter rates are not as volatile as you find in other segments of shipping, either upwards or downwards. Opportunities continue to be discussed with our customers and we remain optimistic that we can secure further profitable charters for our vessels in intervening periods. The activity we are seeing in our main market, Brazil is very encouraging, though the speed of recovery in oil production in the North Sea is a cause for concern at this moment. Nonetheless, the significant mid to long term expansion of offshore oil production in Pre-salt Brazil with some growth in the North Sea, Barents Sea continues to be supported by the large number of committed FPSO orders and with low marginal cost of oil production we continue to remain positive with respect to the mid to long-term outlook for the shuttle tanker market. Thank you very much for listening to the short presentation. That concludes the formal part of today's presentation and I'll be happy to answer any questions.
Operator: Thank you. [Operator Instructions] The first question today comes from the line of Richard Diamond from Castlewood Capital. Please go ahead, your line is now open.
Richard Diamond: Yes, good morning, Gary. I understand a tanker cannot become a shuttle tanker, but at some point a shuttle tanker could be used as a tank given that Afra and Suezmax rates are at $53,000 and $49,000 per day, at what point, and I'm not saying KNOP, but could competitors shuttle tankers go into tanker service?
Gary Chapman: Hi, Richard. Thanks for that. Yeah, obviously the conventional market, as you say, shuttle tankers can go into the conventional market and -- but not the other way around. Certainly, the conventional market is a fallback option for us definitely. And with recent rates improving, as you've already mentioned that, it becomes more interesting, particularly as an alternative to ensuring that our vessels don't sit around idle. Obviously, the most value that we see is when our vessels are operated as shuttle tankers. So that's definitely our first objective. But certainly if rates continue the way they are going and any of our vessels, particularly the North Sea vessels are sitting around for an extended period of time, then certainly we will be looking at alternative, such as the conventional market. I would caveat that a little bit and I think it's fair to say that headline rates are not always achievable, particularly when you factor in utilization where perhaps there are some gaps between individual voyages or charters, and obviously potentially repositioning costs. But notwithstanding that, I think it's a very positive fallback position for our vessels if rates continue to climb as they have done and the shuttle tanker utilization of some of our vessels is not coming as quickly as we expected.
Richard Diamond: Yes, thank you very much.
Gary Chapman: Thanks, Richard.
Operator: Thank you. The next question today comes from the line of Liam Burke from B. Riley Securities. Please go ahead, your line is now open.
Liam Burke: Thank you. Hi, Gary. How are you?
Gary Chapman: Hello, Liam. I'm very well. Thank you. How are you?
Liam Burke: I'm fine. Thank you. I had a question on OpEx. You pretty much explained why you had the bump sequentially from roughly $20 million to $23 million. But if I adjust for drydocking, fuel expenses and then account for higher crew costs, I mean, are we talking at a quarterly run rate of high teens or low 20s?
Gary Chapman: You're talking about rates for OpEx?
Liam Burke: Vessel operating expenses.
Gary Chapman: Yeah, I think the charge for this quarter is definitely dominated by the bunker costs for the drydock vessels, in particular because most of the vessels that have dry docked, they've had to transit from Brazil back to Europe and then back again. So that is quite a sizable fuel cost there and alongside the COVID increases that we've seen, it certainly added on more cost than we would traditionally like to see. But I think, yeah, if you look at the trends of our OpEx overtime, I think we're certainly above where we would typically like to be, but obviously in -- in the past, obviously -- over the last year and now, we've obviously got one extra vessel. So I think if you look back at the historic levels of our fleet OpEx, it was in the region of sort of $18 million to $19 million to $20 million per quarter. So certainly $23 million, which is what we've reported for this quarter is definitely out of line and we'd expect that to come back down to a more normalized trend, if you like, maybe a touch higher than previously because of COVID, but certainly not sticking up at $23 million, which is where it is this quarter.
Liam Burke: Got it. Thank you. And then on your liquidity, you had $32 million in the -- in the purchase of the new vessel. As we look into the second half of the year, you've got lower drydocking. Yeah, you will have better utilization. How do you balance your liquidity position with the unit payouts with potential dropdowns?
Gary Chapman: Well, let me take that last point first. I think we saw an opportunity to do a sale and leaseback that allowed us to release money to make a purchase and also we kept a little bit of spare change from that as well, which has gone into our bank account. I think in terms of balancing the future, we've obviously, as you said, had a very high concentration of drydocks which we prepared for and was foreseeable, and we -- we tried to take a long-term view balancing all of the things we -- I think it's quite clear that we're fairly conservative and we try to be a very stable business, taking a long-term view and trying to spot the differences and see the differences between something that is a temporary divergence versus something that is slightly more fundamental in nature. So I think when we're looking at our business, we fall back on the simple point, if you like, that we need to sign charters and that's what we're working very hard to do. And if we can do that, it keeps everything in balance.
Liam Burke: Terrific. Gary, thank you.
Gary Chapman: Thanks very much, Liam.
Operator: Thank you. [Operator Instructions] The next question today comes from the line of Robert Silvera from R.E. Silvera & Associates. Please go ahead, your line is now open.
Robert Silvera: Hi, Gary. Tough quarter to say the least things you've had to deal with from COVID right on to ships that are looking for business, and obviously the market did not like the 0.51 coverage ratio, so we're down a little bit in the market about $0.60, right now a share. You spoke about the rates, okay. You're negotiating for rates to fill empty ships in the future. The future looks strong as you've stated because of the -- particularly the Brazilian market. What kind of balance do you see? Are you having to give concession versus our current rates? Or do you see the opportunity even though we haven't booked them right now to get higher rates?
Gary Chapman: Yeah. I think the first point to reiterate is that, we don't have the same level of rate volatility in our small market that you see in the other larger, whether it be conventional tankers or other shipping markets, rates have stayed within our range for quite some time. And although throughout this period-to-date, we've maybe not getting the highest of rates within that band, that's just a function of supply and demand as we have been and as we are currently seeing in the North Sea, but we are always targeting with our customers the longer-term charters. So we tend to offer when opportunities arise. We offer slightly lower rates for longer charters and slightly higher rates by definition for the shorter charters. So we operate by principal and I think given the relatively small market in which we operate, we perhaps only have dozen customers and two or three key suppliers of tonnage. It's a market that functions I think quite well because there is definitely competition, but yet everybody understands that there is a need to make sure that you maintain a relationship because you have to deal with these same people tomorrow on a different deal. So I think it's -- I think we have definitely seen a situation where we haven't been able to achieve the highest rates in all circumstances, but certainly we are in a tight market still, even though there is softness here, we're only talking about a few vessels out of 79, and we believe that's for a temporary period and I think some of the activity that we're seeing in Brazil, for example now, is a result of some of our customers realizing that if they don't kind of get to move on they may be left behind in terms of available tonnage. And we've put the slide on there this quarter that shows the future supply of vessels coming into the market and it's not a lot over the next three to four years. So rates -- I don't wish to tell you something you don't already know, but rates are a function of supply-demand and we do our best to get the highest rate we can without being silly. And we always push for the longer term charters with our customers to the extent we can because that best supports what we're trying to do for our unitholders.
Robert Silvera: Yeah. There is definitely a tension right now between supply and demand, so I understand that. When you do fixed rate on a contract for a period of time, there is no variability in the cash flow in that, then it's a fixed rate for that period. Is that correct or is there flexibility going up or down?
Gary Chapman: Some contracts will have an OpEx annual escalation increase. So part of the charter rate may increase each year or a proportion of it, some are flat. But there is no -- we have no contracts that allow a customer to pay less, unless of course the vessels are off hire, but that's a completely different situation.
Robert Silvera: Okay. Good. Let me ask this question. What would add to the benefit of the company to taking on additional dropdowns other than replacing older equipment?
Gary Chapman: Yeah. I think it gives us diversification of income. It gives us a stronger income stream. And I would say that average age of our fleet is still only 8.5 years. So other than a couple of outliers, particularly with the Windsor Knutsen, most of our vessels are still in very rude health in terms of their prime of their life. So -- and I think even the Windsor Knutsen, as we've stated here, we had no – I wouldn’t say we had no problem, but we've been able to secure employment for that vessel pretty much now out -- at least started towards the end of 2027 and '28. So, okay, with charters options. So age isn't a really big factor for us in our business and I think bringing the other vessels in size and economies of scale help.
Robert Silvera: Will it affect positively income that that will grow, leading to the possibility that the stock price would rise and the dividend would rise?
Gary Chapman: I think that's probably looking a bit too far in to the future at this stage. I mean -- and I certainly can't predict what our unit price will do, otherwise I'd be very rich. But I think certainly when we look at it from our perspective, we think dropdowns at the price from our sponsor should add value to what we're doing. And in particular through diversification and more income streams, we are spreading our risk over more assets. Whether that leads to changes in the distribution or not? I think that's too early and would be a little bit foolish for me to start commenting on that right now. We're not close to doing the dropdown right now.
Robert Silvera: Good. The last thing I have is a suggestion. I know in the past you have not done anything like this, but I know it's not a big factor, but it would be a confidence builder factor. If we would start as a company selling put options on the price of the stock, say at $16 a share, $15 a share wherever they are available, out two, three months and thereby use the existing cash we have as a back up to the purchase price of the shares if the [Technical Difficulty] shows confidence of the management in the nature of the business and what the future should hold for the business, and at the same time would give us a small amount of positive cash flow. Would you guys begin to consider that?
Gary Chapman: We regularly consider all kinds of thoughts and I think in that situation, I think we're unlikely to do it on the basis that we like to have confidence from our investors coming from our business and our operations rather than from a financial aspect. Now, if we get our business and our operations right, then the finances take care of themselves and the unit price will take care of itself and it will do whatever the market thinks it needs to do. So I think it's unlikely that we would go down that kind of route. I think we would rather focus our efforts on signing more profitable charters than spending time in a way kind of artificially providing financial support to the unit price. So while I fully understand what you're saying, I don't think it's something that we're probably going to look at.
Robert Silvera: I think what it would show though is that you have great confidence in the future of the company and the plan that you have in place and the executableness of this plan and it shows the market that you have that confidence, and at the same time it uses some idle cash which I'm sure you're not getting much money interest-wise on that to add to the cash flow in a positive way and thereby just increasing your earnings a little bit. So I wish you would review that and perhaps do a study on it and show just how much you can do because those put options are out there and they pay reasonable amounts of money and that would -- that would really identify the management as being, so to speak, putting your money where your faith is and you have faith in the business and you have a basis for that faith, which we have proven over the years and you have continued opportunity to show the marketplace that yes, we do have this confidence in our business and we're willing to put our money to work to prove it. So in a way that gets you some nice cash.
Gary Chapman: Yeah, look, I don't -- I fully understand what you're saying. I think in terms of having an investment in the business -- our sponsor holds 26%, depending on how you want to measure it, 26% to 29% of this business. So clearly they are invested in it and have confidence in it. So I think there are different ways of showing that. And whilst I will give it a second thought once we get off this call. I would say that we are unlikely to go down that route, as I say, we would rather our business in a way speak for itself. But I understand your point. I do understand.
Robert Silvera: Yeah, I think it would be a good just do a little research on it and see does it makes sense. You can do it on a large-scale, you can do millions of shares, the market is not that big, but it's there and as I said, it's sends a confidence message on your part and the management's part. And right now, for instance, if you go to October, which is only 57 days away, October 21, $15 put option, you get $0.30 a share, which means that if it was put to you, the company would buying -- would be buying its own shares at $14.70, commission is not being considered in that. And the chances of it being exercised at $15 are not very good. But if you do 1,000 shares, there is an extra $300 in the coffers. And that is against the standing capital that we just have in our check account, so to speak. Anyway, give it -- give it some research and go from there. I think it's worth taking a look at it. If you go out to January, $15 January, as you can -- the last trade was at $0.90 a share. So there is covering 1,000 shares. There is $900. And that's just against your cash in the bank for 149 days. That's a nice yield. Anyhow, I'm glad you're willing to take a look at it afterwards and do a study of it. I think it would be beneficial in a number of ways, not just cash flow because that can't be too many, but you can easily do 10,000 shares, 100,000 shares in the put --
Gary Chapman: I'll take a look. I'll take a look Robert after the call.
Robert Silvera: Great, Gary. We'll talk the next time. So keep up the good work. I'm very proud and very pleased to be a shareholder -- our company as a shareholder of KNOP. I'm not the owner of the company, I'm just the analyst in the company. But we are Marine Surveyors and we've seen what you have done and how you take care of the ships and now that's another point. We've had so many dry dockings for examinations that we're not going to have any for a long time. So that gives us a nice run way into the future. Just good. We'll talk to you the next time. Thank you, Gary.
Gary Chapman: Thank you. Thanks.
Operator: Thank you. There are no further questions registered, so I'd like to pass the conference back over to Gary Chapman for closing remarks.
Gary Chapman: Thank you, everybody, and I wish you a good day and thank you very much indeed for your time listening today.
Operator: Thank you all. This concludes today’s conference call. Thank you for your participation. You may now disconnect your line.